Operator: Good day and thank you for standing by. Welcome to the Inspirato Third Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Kyle Sourk, Investor Relations. Please go ahead.
Kyle Sourk: Thank you and good morning. On today's call, we have Co-Founder and CEO, Brent Handler and CFO, Web Neighbor. Yesterday afternoon we issued our press release announcing our third quarter results and posted an updated Investor Presentation both of which are available on the Investor Relations page of our Web site at investor.inspirato.com. Before we begin our formal remarks, we remind everyone that some of today's comments are forward-looking statements, including but not limited to our expectations of future operating results and financial position, guidance and growth prospects, our anticipated future expenses and investments, business strategy and plans and market growth, market position and potential market opportunities. These statements are based on assumptions and we assume no obligation to update them. Actual results could differ materially. We refer you to our SEC filings for a more detailed discussion of additional risks. In addition, during the call, management will discuss non-GAAP measures, which are useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. Reconciliations of these measures to the most directly comparable GAAP measures are included in our earnings release. With that, I'll turn the call over to our CEO, Brent Handler.
Brent Handler: Thank you, Kyle, and good morning, everyone. On our previous calls, we have highlighted a number of new company records and expressed confidence in the ability to execute our short-term and long-term business plan, thanks to a resilient and growing subscription base of high net worth travel enthusiast. Today, in spite of rising interest rates and macro uncertainty, we continue to establish new company milestones. We are less than a month away from completing a year that will see approximately 45% revenue growth, and we are extremely confident in our multiyear outlook. We entered 2022 with several key objectives. First and foremost, with an emphasis on growing the supply of our residents and hotels to meet the demands of our growing subscriber base. Throughout the year, we have successfully demonstrated that this often identified key risk is very much an opportunity for Inspirato. As of September 30, we had 726 controlled accommodations, an increase of nearly 50% year-over-year, and 35% year-to-date. Importantly, we have strategically entered key markets in an effort to not only better serve our existing subscribers, but also to grow our presence for potential new subscribers. Our partnership with Canoe Place in the Hamptons is a perfect example of this approach. We also successfully increased our scale in existing high demand areas such as [indiscernible], Park City and Costa Rica. In terms of full year 2022 guidance, we now anticipate revenue of approximately $340 million and an adjusted EBITDA loss of approximately $35 million. These downward revisions are the product of a few contributing factors. First, a reallocation of internal sales and marketing resources to new and expanded target markets, business and philanthropy. Second, lower-than-anticipated Inspirato Pass subscription sales in the fourth quarter; and third, lower-than-expected fourth quarter total occupancy due to less than anticipated travel demand during the peak festive season. We are keeping a close eye on these trends and believe we have built in the appropriate level of risk into our 2023 guidance. In terms of reallocating internal resources, we believe there are a number of long-term benefits to increasing internal focus on Inspirato for Business and Inspirato for Good, including lower customer acquisition costs, stable and growing, recurring revenue and a strong pipeline of highly qualified prospects for our flagship club and past subscription offerings. We believe these new products will further diversify our revenue streams and significantly expand our universe of potential subscribers. In years past, investment in digital marketing served as the key driver of our subscription growth. Now with the early success of Inspirato for Business and Inspirato for Good, we have new marketing channels that are actually generating revenue, while simultaneously driving lead generation and ultimately new subscriber growth. In other words, we are beginning to be paid for something that has historically cost us money. This combination of increased revenue and reduced expenses as it relates to customer acquisition has the potential to meaningfully improve our LTV to CAC and should accelerate our path to profitability. As far as early results, Inspirato for Good, which was launched just 3 months ago, is off to a tremendous start. By year-end, we expect to have sold more than 500 subscription and trip packages, amounting to $1 million of incremental revenue, only a small portion of which is recognized in 2022 as it is split between subscription revenue over time and travel revenue at the time of trip. Equally important, our new Inspirato for Good subscribers have donated over a $1 million to charities of their choice. Last week we launched JauntLiving, a new extended stay offering that we believe will be a unique and differentiated benefit for our members. Our JauntLiving trip list features extended stays ranging from 2 weeks to 1 year and Select Inspirato accommodations with each reservation including the personalized service that is hallmark of travelling with Inspirato. As we head into 2023, our primary focus is on leveraging our existing infrastructure and the investments made throughout 2022 to improve our cost structure, both above and below the line. While we are well-positioned to opportunistically grow our supply in 2023, we're more focused on portfolio optimization than portfolio growth. In terms of additional cost savings, we are committed to being thoughtful regarding incremental investments, and anticipate our OpEx as a percent of revenue to materially improve over next year. Much of this projected improvement is attributable to the fundamental change in the Inspirato customer acquisition cost equation I just referenced. We are now prioritizing our stated goal of returning to positive adjusted EBITDA and expect to achieve greater than $400 million of revenue for full year 2023. Finally, I want to thank our talented and dedicated team for all of their hard work throughout the course of the year. 2022 has been a year of outstanding growth and change, highlighted by a number of tremendous accomplishments. We look forward to more of the same in 2023. With that, I'll turn the call over to Web to discuss the quarter in more detail.
Web Neighbor: Thanks, Brent. I'd like to echo your sentiment of thanks to the employees. There has been a lot of hard work throughout the year aimed at improving existing processes and implementing new ones, all of which has us very well-positioned for 2023 and beyond. Since going public earlier this year, we have invested in personnel in our financial and accounting groups. The restatements to our prior period balance sheets and income statements had no material impact on the company's results of operations, revenues, or operating cash flows for either of the impacted quarters. We are confident that the newly improved and implemented processes and procedures will ensure more timely accurate reporting moving forward. Moving to our third quarter results, we want to again deliver record setting results in multiple key aspects of our business, namely revenue, active subscriptions, total nights delivered and controlled accommodations. Total revenue for the quarter was $93 million, an increase of 44% year-over-year, and 11% sequentially. Our subscription revenue of $39 million represents an increase of $53 million compared to the third quarter of 2021, and it's primarily driven by the continued adoption of Inspirato Pass, which ended the period up 60% year-over-year at just over 3,800 subscriptions. Pass subscriptions now accounted for 24% of our total active subscriptions, which ended the quarter at approximately 16,300. This compares to 17% of total active subscriptions just a year ago. Travel revenue for the quarter of $55 million represents a 38% increase from the third quarter of 2021. In terms of the drivers of Travel revenue, we achieved 25% year-over-year growth in total nights delivered, a record 51,000 nights and 18% growth in our residence ADR to approximately $1,800 a night. Over the past year, we've delivered historically strong occupancy levels, albeit off from the peak of all peaks that we experienced in 2021 as well as strong ADR increases. Gross margin for the quarter was $30 million, or 32% of revenue, compared to $22 million or 35% of revenue in the third quarter of 2021. Similar to last quarter, our gross margin was impacted by the integration of new properties as onboarding, outfitting, staffing and the time needed to fill the booking calendar typically resulted in short-term margin compression. As Brent highlighted, we intend to shift our focus to portfolio optimization from portfolio expansion in 2023 and we anticipate delivering improved gross margins over time. This quarter, total operating expense as a percent of revenue improved to 43% compared to 48% a year ago and 49% in each of the first and second quarters of 2022. Moving forward, we look to leverage our increased scale as well as deliver on a renewed focus on costs to achieve positive adjusted EBITDA in the near-term. We had a net loss of $7.3 million and an adjusted EBITDA loss of $6.8 million compared to losses of $9.1 million and $4.1 million, respectively, in the third quarter of 2021. Shifting to the balance sheet, we exited the quarter with approximately $84 million of cash on hand. As we highlighted in the press release, we anticipate a year-end cash balance of approximately $80 million with no outstanding debt. Our team is excited for 2023 and ready to accomplish very clear and achievable goals aimed at driving long-term shareholder value. With that, I'll turn the call over to the moderator for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Mike Grondahl with Northland Capital Markets. Your line is now open.
Mike Grondahl: Hey, guys. Thank you. My first question is really just, it sounds like you're increasing your focus on Inspirato for Business and Inspirato for Good, roughly about 1% of the [indiscernible] you have focused on those two areas.
Brent Handler: Thanks, Mike, this is Brent. It's a little bit in flux now as we see exactly how the market adopts to those two relatively new initiatives. Thus far, both of them have been going really well. As you can imagine, Inspirato for Business has a longer sales cycle, but larger transactions and Inspirato for Good, has a much shorter sales cycle, but smaller transactions. But I think if you put the two together, and we think about next year, I would say somewhere in the neighborhood of about a third, roughly, of the total sales force being allocated to those two new initiatives would be kind of a fair estimate. But we're watching them both optimistically as they are kind of outperforming our initial expectations. And we've kind of put some conservatism into the plan for next year as we think about what ultimately they will become as the year progresses and as we understand better ways to acquire those customers and more efficacy in our marketing, I could see those things changing over time.
Mike Grondahl: Got it. Yes, they sound pretty exciting. And then how are you marketing Jaunt for Living kind of the extended stay product, I think it could be characterized as?
Brent Handler: This is Brent again. Good question. I mean, the great part about having loyal subscribers and people who are paying money to be part of a platform where they're able to travel with the service and certainty of Inspirato is marketing is really nothing because we already have the job franchise that has worked really well for some of those have been going -- Jaunt has really been around for now about a decade. And so by putting JauntLiving in the Jaunt family, there's a [indiscernible] email that gets sent out at 1 o'clock Mountain Time and JauntLiving just becomes another version of that kind of members only way to be able to save. And we're also highly optimistic that JauntLiving will make a lot of sense and have great appeal for our base. Historically, because inventory had been so tight, we've actually not really allowed other than on very special occasions an Inspirato member to stay in one of our residences for longer than a couple of weeks. What we've now realized with post-pandemic, still a lot of work from anywhere and kind of the new normal of how people want to experience the world, particularly with residential accommodations. We have very high expectations for JauntLiving, and there's really no incremental cost or incremental marketing or incremental sales required for that opportunity. It's something that members have been delighted about the response has been very positive, essentially, universally positive. And it's a little bit of a considered purchase, right? People are going to take some time to think about where might they stay for a couple of months. But we have a team of people that are working with our members talking to them about the art of the possible for ways that they could experience our -- in our portfolio and kind of an opportunity they've never been able to do before. One other important part about JauntLiving is it also opens up a whole new avenue for us of inventory. There's a lot of inventory that is available throughout the world where there are short-term rental restrictions. So you're not even allowed to operate in certain jurisdictions without, for example, a 30 day length of stay and JauntLiving provides us an opportunity now to be able to participate in those markets where otherwise for example, we may not have been able to participate at all. So we're very excited about that new opportunity.
Mike Grondahl: Great. Maybe just lastly, any update on retention for Pass and Club subscribers?
Web Neighbor: Sure. Hey, Mike, this is Web. As you know, when we discussed in the past, retention is something that we monitor closely internally across all of our different product types. We haven't published numbers since the pandemic, wanting to get a full 12 months of stabilized sort of non-impacted numbers in order to have a clean baseline for analysis. So we're hopeful, Mike, that that'll be this year, it looks like it is and we're approaching the end of the year, and that we'll be able to sometime in the first quarter come out with some robust work to share with you in the market on retention for the full calendar year 2022.
Mike Grondahl: Got it. Okay. Hey, thank you.
Operator: Our next question comes from the line of Jed Kelly with Oppenheimer. Your line is now open.
Jed Kelly: Hey, great. Thanks for taking my questions. Just circling back to your Pass subscribers, any -- can you touch on like the impact sort of the downturn in the equity market we've seen? How has that impacted sort of your sales pipeline in all your Pass and Club members and how that's impacting subscriptions?
Brent Handler: Sure. This is Brent. Great question. I think it's fair to say that the Pass product does the best when there's less uncertainty in the market. So Pass didn't do well during the pandemic, for obvious reasons, because Travel was somewhat impacted. Pass going into this kind of economic malaise that we're in right now with people not wanting to make longer term commitments, potentially not knowing about their job or not having as much certainty about their exact situation, we have seen some impacts as we disclosed in Q4, around Pass. Pass essentially is a different way of being able to [indiscernible] Inspirato inventory. And what you'll see and what you'll hear about over the coming quarters is that we've really now focused on this revenue stream that is going to be more durable and more sustainable over time, because it's more diversified. So if you think about our portfolio as a fixed expense with our operated residences, think about Pass being a channel and Club being a channel. And today, we're really talking about three new channels that are able to absorb that inventory, and continue to provide great RevPAR and great unit economics for Inspirato. So one of them would be JauntLiving, another would be Inspirato for Business, and another would be Inspirato for Good, all of those things have opportunities to complete and fill reservations in the portfolio. We do not expect Inspirato Pass to have the growth that it had in 2022 moving forward into 2023. That being said, we have diversified enough where we feel like we can still run the portfolio at a very, very good RevPAR, really focusing on our expenses at the field level as well. So you should be able to see greater gross margin as well as growth in the portfolio because we still have homes that have yet to be released into next year and absorbing all of that demand in a more diversified way really provides a lot more opportunity for us to maximize RevPAR, which essentially is the name of the game.
Jed Kelly: Got it. That's very helpful. And then just on the next year's guidance I think you said $400 million in revenue for 2023. Is there any way you could provide like a breakdown on how we should be thinking between the difference between travel revenue and subscription revenue?
Web Neighbor: Yes, Jed, this is Web. We haven't put out, of course, that level of granularity. I would say, given the base of revenue that we have in place and our subscriber count today being 8% or so higher than it was at the beginning of the year, we do think we'll be starting off at a more robust level of some embedded growth in that subscriber count. So I would look for that mix because of that [indiscernible], the mix between travel and subscription revenue to be roughly where it is now, that I wouldn't expect there to be material change.
Jed Kelly: Got it. And then …
Brent Handler: This is Brent. Another -- sorry, just one other component that's going to be quite important in the coming quarters, we're not prepared to talk about it today in detail, but a preview of coming attractions is interestingly Inspirato for Business and Inspirato for Good, both contain a combination of subscription revenue and [indiscernible] state revenue, because they come with bundled memberships as well as travel. So there's going to be a new component of subscription revenue that we'll be talking about in future quarters that is essentially a different type of subscription than our consumer subscription from Pass and Club, but subscription revenue nonetheless. And so we'll have some breakdown of how that works in future quarters as we start to get more sophisticated in that reporting for the plan next year.
Jed Kelly: Got it. And then can you talk about sort of how you're approaching your supply roadmap into next year? I guess 80% occupancy is sort of that sweet spot that you've talked about? But how should we think about sort of -- how is the supply? I guess how is procuring the supply? How's that environment and just how should we think about your roadmap?
Web Neighbor: It's something as you know that we focus on Jed, and we going back almost 2 years ago now, I guess, a solid 18 months, we have stood up dedicated infrastructure, and really sort of a muscular platform for acquiring new supply across our bread and butter, high net worth what we call retail channel as well as institutional and hotel channels. That -- that's the pipeline that we built. You saw it in our investor deck posted last night. We still have 70 contractually committed residences slated for delivery in the coming months and the coming year. So delivering on that pipeline, building it and delivering on has been a number one priority. I think in terms of targeting occupancy, you're right, historically, we ran before the pandemic, sort of in the 70s until [indiscernible] even lower at times. So getting up in the high 80s, what was running a little hot, somewhere around 80, seems to work really well. It strikes the right balance of being able to grow our supplies with new and diverse inventory, and being able to offer all of our subscribers a deep and broad and diverse set of travel alternatives. So I look forward to be around the same. You've seen the pipeline narrow a bit as we've been really selective, given the uncertainty Brent mentioned in the market. But we feel good about the capital markets actually unlocking supply opportunities to come our way.
Jed Kelly: Got it. Thank you.
Operator: Our next question comes from the line of Brett Knoblauch with Cantor Fitzgerald. Your line is now open.
Brett Knoblauch: Hi, guys. Thanks for my question. Just, I guess can you help me frame the growth cadence for next year. You implied kind of 4Q guide is a pretty steep deceleration from this quarter. Should we expect kind of similar levels of growth kind of throughout next year? Or maybe [indiscernible] deceleration as we kind of progress throughout the year?
Web Neighbor: Yes, hey, Brett. This is Web. I missed the first part of the question, I apologize. Could you repeat that?
Brett Knoblauch: I'm sorry just kind of looking for any, I guess help on how to model revenue for next year. There's going to be a pretty big deceleration on a year-over-year growth basis for the fourth quarter. Should we expect kind of on a sequential basis from that point on for revenue growth to kind of continue to decelerate into the end of next year? Or is there any seasonal factors that we should be aware of?
Web Neighbor: Yes, That's a good question. So you're right. And look, we're forecasting a little shy of 20% growth for the year. We actually think given the environment we've been in, we felt pretty good about being able to broadcast that number while also delivering positive adjusted EBITDA. And in terms of the seasonality, the biggest thing we see there is it's not the question that was asked earlier, it's the mix by quarter between [indiscernible] subscription varies a lot. Subscription revenue, of course, by its nature is very steady and predictable. In the first quarter of the year, we typically see some of our highest travel volumes, both occupancy and rate. So that leverages into a lot of travel revenue growth. Then, of course, we saw it this last year, in the second quarter, we typically see a whole lot less travel, lower occupancy and lower rates. So I'd be focused, Brett, on sort of a mix between the two for each quarter, but hitting that overall growth target to get the $400 million, which is, like I said, a couple of points just below 20%.
Brett Knoblauch: Got it. Understood. And then on the cost side of the business, you talked about portfolio optimization helping gross margin, what is the more immediate term impact of these actions versus the long-term? And I guess, should we be expecting gross margins to improve on a year-over-year basis in 2023?
Web Neighbor: Yes, it's a good question. So you're right, we do highlight that during periods of significant operating portfolio growth, like we've been experiencing and delivered on that does impact margins to some degree, that sort of a natural expense and revenue mismatch when you're onboarding a significant volume of new properties. I think in terms of the year-over-year gross margin forecasts, that's not a level of detail we put out. I would highlight that we set it in our call remarks earlier, that 2021 peak of all peaks, and actually bled into the beginning of 2022, you saw in the first quarter, I think a record gross margin maybe in the history of the company in the first quarter of the year. So we're not modeling that. My hunch is that it'll be tough to top. That’s the way we think about that is the success and the growth of this business, both from investor perspective and from a subscriber perspective, was never predicated on 88% occupancy. The numbers that we deliver in the last year being in the 80s, we can deliver solid gross margins, and get to our long-term trajectory in the high 30s or low 40s on a percentage basis.
Brett Knoblauch: Got it. Understood. And then your comment on the kind of operating expense reduction. Am I supposed to take that, or I guess are we just at a total operating expenses in 2023, will be less than or you just referring to as a percentage of sales, you would expect a decline?
Web Neighbor: Yes, it's a good question. It's something we're really focused on. We have grown so much in the last two years now. And that's been really growing our infrastructure much of it has to do with going public. We foresee in our broadcasting that total dollar number will be less in 2023 than it was in 2022 obviously on a percentage basis as well. But the total dollars actually a reduction in or for corporate operating expense loss.
Brett Knoblauch: [Indiscernible]. And on the Inspirato Select with Inspirato for Good and Inspirato for Business, you guys kind of briefly talked about I guess we'll get more on this in the coming quarters the kind of -- both the subscription and a -- the travel component embedded [indiscernible] in that model. How do you treat that from an ARR perspectives? It's just a subscription component included in ARR for this product?
Brent Handler: Yes, this is Brent. Like I said, we'll give a lot more color on this in the quarters to come because it's new to us as well. But in the example of both Inspirato for Business and Inspirato for Good, when a company for example, purchases reward travel for their employees as well as membership access for their employees, the revenue is actually split between recognized revenue when the travel is delivered, and subscription revenue over the period of the contract. And some of those contracts are a year, some of those contracts are 3 years. And so the subscription revenue would be not dissimilar to a SaaS model or a corporate subscription, for example, where at the end of term, you'd have to go and reup and resell the company when the term is over. Similarly, with Inspirato for Good, a bundle membership is included in the actual transaction that the purchaser is making. Just to back up a second, with Inspirato for Good, again, we're very excited about this in an example, where the donor pays, giving us illustratively, if they were to pay $4,000 at the -- at an actual nonprofit event, it would be very logical that 2,000 of that would go directly to the nonprofit. 2,000 of that would come to Inspirato. Of the 2,000, that comes to Inspirato, a percentage would go towards a 1 year subscription, and a percentage would be deferred in revenue until delivered when the travel actually takes place. So that's kind of the makeup of how that works. How we're going to report on it, and sort of what's the right word to segment our subscription revenue, kind of stay tuned until next quarter, but we're very optimistic that those are, first of all, expands our TAM massively. Those are two very, very large markets that we have not participated in, that allow us to have a different lens of the consumer on what it is that they're purchasing. And we also think that it gives us a long-term sustainable way of introducing more people to Inspirato who potentially might want to travel with Inspirato for different reasons. As one quick example, one of the large lead gen that we're getting for JauntLiving is actually coming from Inspirato for business. We have a particular very large financial services firm that is providing Inspirato to their Wealth Advisors, both for reward travel as well as membership, those people have a lot of flexibility, a lot of them are at the age in which they want to be living in other parts of the world. That's an example where we were able to do a transaction on Inspirato for Business, but it turned into not only an inexpensive lead flow for JauntLiving, but actually being paid for that lead to be able to come part of JauntLiving and be able to travel with us as well. So we're really trying to build more of an ecosystem and a platform where luxury travel is in the middle [technical difficulty] philanthropy, individual pay as you go, Pass, Select, different ways to be able to consume our fantastic portfolio, all of which is a way of saying we're making the TAM larger.
Brett Knoblauch: Got it. Thank you. That was a lot. Maybe if I just ask one last question, you know, I guess end the year at like $80 million in cash. This quarter it was, I think that the largest kind of cash burn that you guys had, which seems pretty, I guess a result of deferred revenue and working cap. Is this -- would you expect this to kind of be the bottom in terms of free cash flow burn? And going into year should we expect kind of free cash flow to be closer to positive or breakeven?
Web Neighbor: Yes, Brett, this is Web. I think historically in this year, again, was the case that yes, the third quarter is typically the largest, the cash in which the quarter in which we consume the largest amount of cash. We [indiscernible] logistical reality, we deliver a whole lot of travel in the third quarter, and we don't have any significant booking events or booking demands. I mean, people are on the beach in August on vacation, not booking the next vacation. So that's a typical seasonal dynamic that we've seen through our history. We do expect that that quarter will be the largest quarters up the bottom of the trough as you said in terms of consumption of cash.
Brett Knoblauch: Perfect. All right. Thanks, guys. Really appreciate it.
Operator: Our next question comes from the line of Thomas Champion with Piper Sandler. Your line is now open.
Unidentified Analyst: Hi, this is Jim [indiscernible]. Thanks for taking the question. So I guess first on the accounting issue that resulted in the delayed filing. Can you talk a little bit about your internal controls and kind of what can be done to prevent this going forward?
Web Neighbor: Yes, as I said in my remarks, Jim, it's been a focus of ours in terms of staffing up and adding to the team, as we've made the transition to being public. We have Brent on a -- for the first time ever has brought out a head of internal audit that is tasked with delivering on the type of control environment that you would expect with the public company of our light kind of character. So we were confident that some of the initial steps we've taken, and that the medium term plan of putting that control environment in place that we won't experience any additional issues. We were, of course, noted in my remarks that the issues found didn't affect revenue, and they weren't material in any sense to the operating results of that business. But look, we're focused on getting that control on our place. And that's why we brought on the new headcount to ensure that gets done in a timely and [indiscernible] passion.
Unidentified Analyst: Great. And then I guess, just on the portfolio optimization, is there an opportunity to sort of get maybe get rid of properties that have less year round utilization? I know we've talked, you guys talk to certain properties being better in that respect, based on the geography.
Web Neighbor: Yes, a big part of our margin optimization over time, we'll be doing exactly that and fine tuning the mix of properties. different geographies operate at dramatically different margins, sort of logical when you think through it, you highlighted the calendar availability that is part of it. So we will -- we are and will continue to prune the portfolio, both for customer satisfaction and also for margin.
Unidentified Analyst: Great. That helps. That's all for me. Thank you.
Operator: Our next question comes from the line of Jocelyn Hung with Evercore ISI. Your line is now open.
Jocelyn Hung: Hi. Thank you for taking my question. I'm asking questions were [indiscernible]. Wondering how do you plan to reach positive EBITDA in 2023 if macro versus like, what does focusing on portfolio optimization mean like? Any elaboration on that will be appreciated?
Brent Handler: Sure. Hey, Jocelyn, its Web. I think that the couple levers that I point to are one and I made references earlier, we already have pretty meaningful embedded growth, both in a larger subscriber count, paying subscribers, now we're sort of starting off the year at a higher number. And then on the other side, we have significant visibility into our forward looking calendar. And we look at that and see a fairly robust level of booking activity at really high rates higher than we would have otherwise forecast. So the combination of those two, combined with what was referenced earlier around, not only containing corporate operating expenses, but actually delivering a net dollar reduction in corporate operating expenses for the year. Those are the levers that will lead us down the path to delivering positive adjusted EBITDA.
Jocelyn Hung: Thank you. And then I recently came across an article saying, I know you guys focus on luxury rental, but I saw some like, in general, vacation rental owners have seen some their bookings coming to a halt, probably because of the short right things apply as people look for additional income or for reasons like that. So just wondering if you're seeing data as low or anything you heard?
Brent Handler: Hey, this is Brent. It's -- a really good question. It's been such a strange, I would say, almost 3 years now, I think almost 3 years. Going kind of back to the pandemic, where everything just shut down. And then very slowly, people started to feel comfortable travelling, and again, I'll be it at much lower rates. Eventually, that just reached a peak, which was last Q1, maybe Q4 of '21, Q1 to '22, where there just was not enough supply. Everybody just wanted to travel. That kind of worked its way into maybe the very beginning of Q2. And then we have seen a difference in just overall travel demand. It's not been remarkable. It's not been something that's jarring. But we are seeing that, for sure. People have moved Pass revenge travel, there's a little bit of travel fatigue out there last year, there was some softness, for example, in our domestic portfolio in the summer, because everybody wanted to be in Europe, we're anticipating that this year that domestic is going to be coming back. And a lot of people got your Toronto members maybe out of their system. I think for us, it's very important to continually think about how fast is the portfolio growing. Last year, the operating portfolio grew 40%, last year, meaning 2022. That's just a tremendous amount of growth, that's a lot of houses that have to be on boarded turned on, calendars get turned on kind of late in the cycle. So somebody has to make a decision to go book, nice vacation, 2 weeks or a month in advance, that's going to be much more regulated in 2023, there's going to be a lot less inventory that's going to be opening. And much of that inventory that's going to be opening in 2023 has actually already been released by Inspirato. So the combination of less growth, and more importantly, a more diversified, robust, and really a kind of more sustainable way of acquiring customers. That reaches a much larger tam allows us to be able to have confidence in this call at roughly 80% total occupancy number, because a lot more at bats are going to be coming our way through Inspirato for Business, Inspirato for Good and JauntLiving. Those are three plays that just were not in the playbook in 2022. And combining that with a lot less growth. On top of starting with a larger subscription base gives us confidence in our plan. All that being said, for sure, just out in the world, we are definitely seeing a difference in people will just travel and stay at home at any cost. I think those days are over and we have to work harder and be more creative and more innovative to build a portfolio and run and at profitability.
Jocelyn Hung: Thank you. I guess my last question, just a small one, I guess just curious how many properties you have on your Web site or you having your inventory are exclusive to [indiscernible].
Brent Handler: We have in terms of exclusive property. We put them in a couple of different buckets. Jocelyn, the biggest of which were what we're known for our exclusive residences. And I think we finished the quarter just over 500 I think the exact number is 509. So those are the ones that I'd point to as exclusive. We do have total control accommodations and more than 700. And the balance the additional 200 number of those are actually exclusive with respect to this specific unit. For instance, in the case of something on the premises of a five star luxury resort. But that gets into Shades of Grey around what we might define exclusivity.
Jocelyn Hung: Thank you.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to management for closing remarks. Wonderful. Thank you. Well appreciate everybody's thoughtful questions and listening to our story today. I want to wish everybody a happy holiday. And I think hopefully we'll be back out this next quarter. We'll talk to you then. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.